Thierry Huon: Good morning, everyone. Welcome to Renault 2019 Full Year Results Conference, which is broadcast live and in replay versions on our website. The presentation slide, press release and activity pack for this call are all available on our website in the Finance section. I would like to point out the disclaimer Slide 2 of this pack regarding the information contained within this document and, in particular, about forward-looking statements, and I invite all participants to read this. Today’s conference is scheduled to last about 1 hour and 15 minutes. First, Clotilde, our CEO, will give you some opening remarks; and then Thierry Piéton, Deputy CFO and Group Controller, will guide you through the presentation of 2019 performance. After this financial presentation, Clotilde will review the main achievement of the year and present the orientation for 2020. Presentation will be followed by the usual Q&A session. Without further ado, I hand over to Clotilde.
Clotilde Delbos: Good morning, everyone. It’s a pleasure to be with you today. 2019 has been a tough year for Groupe Renault and the Alliance. Lower markets, volatility, CAFE preparation have impacted us right where we are implanted and right when we were facing internal difficulties. We felt the very full impact of these turbulences in the course of 2019 and reviewed the performance commitments we have taken. The results we are disclosing today are in line with the profit warning guidance we gave in October. Our results were achieved, thanks to the relentless efforts of the Renault teams, and I’m taking this opportunity to thank them all. Our 2019 performance is where we told you it would be, but it’s not where we would like to be. So before Thierry Piéton delivers you the full financial details, I’ll share the main takeaway from last year. Our internal international presence, our strong position in LCV and Global Access help us getting through the year. Driven by the success of our new launches, we grew in Europe, in Russia, in Brazil and in India. As for electric vehicles, our sales rose by about 25%. EV is now represented more than 5% of Groupe Renault revenues. And we’ve just launched New ZOE, which will be our flagship for 2020. Regarding LCVs, we reached a new sales record as did our Global Access brand, Dacia, for the seventh consecutive year. Another competitive, unique asset is our RCI business. Once again, our bank has achieved new record results. Taking a step back and looking at the past 4 years, RCI has reached a record penetration rate. Over 44% of Alliance sales were realized using its financial services in 2019, up from 40% in 2015. Within the same time frame, the number of service contracts sold per Alliance registration went from 1 to 1.5. This performance shows the robustness of RCI business model, and the outlook on the coming – upcoming years is more promising. Finally, and contrary to what one may think, the Alliance remained a performance contributor for Groupe Renault through 2019. We leverage our common platform, starting with New Clio, New Captur and Nissan New Juke, all produced on CMF-B. This will be soon joined by Nissan Note. Cross manufacturing saw some achievements, including the production of Nissan NV250 in our Maubeuge plant, in which we already produce Mercedes Citan for Daimler. Overall, the guidance and the spirit of the Alliance have dramatically changed for the better in the past months, and it’s now on the right tracks. Beyond leveraging our assets, we took measures to address our main challenges. As shared when we issued our profit warning in 2019, we dealt with issues on both our revenues and our costs. Among other factors, we suffered from weaker-than-expected markets and then higher-than-expected spending in R&D. Part of these costs issues lies in choices taken years ago, notably when it comes to technology. We took corrective action, and the results start to show. Thanks to our new generation of vehicles, we have been able to improve our price positioning and to close the gap with our main competitors with these new vehicles. In Europe, during the second semester, our price positioning improved by 1 point compared to competition. We also rolled out a strict cost-reduction policy, which led to a reduction of our G&As. Don’t misread me, though. We are not satisfied with our results, and the whole management team is focused on a clear set of actions starting in 2020 to restore the performance, and I’ll come back to them. I will now leave the floor to Thierry Pieton for our detailed financial report.
Thierry Piéton: Thank you, Clotilde, and good morning, everyone. Before reviewing our results in detail, I would like to share our main performance figures. Groupe Renault delivered €55.5 billion in revenue, a decline of 3.3%, and 2.7% excluding the impact of Forex. Our operating margin reached 4.8%, 1.5 points down compared to 2018. Our automotive operational free cash flow amounted to €153 million. Starting with Slide 16. Let’s have a quick review of our commercial results released on January 17. Groupe Renault’s unit sales decreased by 3.4% to 3.8 million units. Excluding Iran, sales declined by 0.8% in a world market that contracted by 3.8%. Taking a closer look by region. In Europe, Groupe Renault performed in line with the market, which posted a 1.2% increase compared to 2018. In Eurasia, sales were up 0.4%, including Lada, in a market down 4.4%. The good performance in Russia was largely offset by the heavy fall in the Turkish market. In the Africa, Middle East, India, Asia Pacific region, our sales declined by 19.3%, largely due to the end of the group sales in Iran and restriction of imports in Algeria. In India, the group’s strategy is starting to bear fruit with sales up nearly 8% in a market that contracted by 11%. This increase was mainly due to the successful launch of Triber and new model year of Kwid. In Americas, also thanks to the success of Kwid, sales decreased only by 2.9% despite the continued fall of the Argentinian market. In China, our sales decreased 17.2% in a market down 8.2%. Slide 17 shows group revenues per activity. Groupe Renault’s revenues reached €55.5 billion, a decline of 3.3%, as already mentioned. Revenues for automotive, excluding AVTOVAZ division, were €49 billion, down 4.2%. At constant exchange rate, decline would have been 3.5%. As you can see on the slide, the growth rate in the second half was almost flat, whereas it was down 7.7% in the first half. This is thanks to the improved pricing, slightly better commercial performance and an easier H2 2018 comparable. Revenues from AVTOVAZ net of eliminations reached €3.1 billion, up 3% despite a 2.6% decline of the Russian market but after a positive 2.4 points ForEx impact. Our captive finance company, RCI Banque, continued to perform with revenues reaching €3.4 billion, up 6.1%. On the following slide, we take a closer look at the automotive revenue variance. From left to right, we see in the first packet a volume decline impact of €738 million or 1.4 points. This contraction stemmed mainly from the drop of the Argentinian, Turkish and Algerian markets. As usual, the gap between registrations, evolution and volume impacts came from the CKD business, activities outside of new car sales and the impact from inventory changes. This last item impacted negatively for the fiscal year. The geographical and model mix impacts are almost neutral at minus 0.2 points, mostly coming from the success of Triber in India, which has a lower price per unit than our average range. The fourth item is the price effect, which is positive 1.7 points. This impact reflects pricing actions to mitigate negative Forex in emerging markets, notably Argentina and Turkey, as well as regulatory and content costs in Europe. Since the fourth quarter, this item also benefited from our more ambitious price-positioning approach, especially in Europe with New Clio. Sales to partners impacted negatively for 3.4 points. This was due to reduced vehicle production for Nissan and, to a lesser extent, for Daimler; to lower diesel engine demand in Europe; and to the remaining impact of the Iranian market shutdown. The next item, Forex, is a negative impact of €368 million or 0.7 points. This reflects the weakness of the Argentinian peso and, to a lesser extent, of the Turkish lira. The last item named others accounted negatively for 0.2 points. A stronger performance in our aftersales business and from our group-owned dealers was more than offset by the accounting effect of an increase in our sales with buyback commitments. I will now turn to the group margin by operating sector. In 2019, automotive operating profit excluding AVTOVAZ amounted to €1.3 billion, down €920 million compared to the previous year. Margin rate was 2.6% of revenues on a full year basis and 1.3% in the second half. This decline came mainly from lower volumes and sales to partners but also from increased costs, as we will see in the variance analysis. AVTOVAZ contribution to the operating profit amounted to €155 million compared to €204 million in 2018. This represents 5% of revenues compared to 6.7% in 2018. Excluding a net year-over-year negative impact of €70 million from one-offs, margin rate would have been up 0.5 points. Our financing activity continued to perform at record level as RCI Banque delivered a €1.2 billion contribution to the group margin, up 1.6% compared to 2018. In total, for 2019, Groupe Renault’s operating profit stood at €2.7 billion or 4.8% of revenues compared with 6.3% in the previous year. Let’s have a closer look on Slide 20 at the operating profit variance. To the left of the chart, we see cost-reduction activities delivered €668 million of savings, of which monozukuri contributed €547 million. Cost reductions are detailed on Slide 21. Savings from purchasing came to €458 million. Savings were below 2018 level due to lower purchasing volume and to the carryover impact of actions taken to assist Turkish suppliers at the end of 2018. Warranty cost impacted positively for €53 million, reflecting quality improvements. The impact of R&D on the P&L was positive €106 million over previous year. The increase in the R&D cash spend was more than offset by higher capitalization ratio, which stood at 52.8% versus 48.6% in 2018. However, the stand-alone impact for the second half was negative €102 million as the capitalization ratio started to decline and depreciation increased. Manufacturing and logistics cost increased by €70 million due primarily to higher depreciation, wage and utilities inflation, partially offset by productivity. G&A cost, as mentioned by Clotilde, decreased by €121 million, showing a strong improvement in the second half, partly helped by positive one-offs. Let’s turn back to the operating profit step chart on Slide 22. As expected, raw material costs were up, largely on higher prices for precious metals and flat steel, impacting our operating profit by €324 million. The next bucket, mix net price enrichment was negative in the period for €587 million despite continued improvement in net pricing in the second half. This results from increased regulation costs, less favorable energy mix, richer content for new models and the end-of-life management for Clio IV and Captur. Volume and partners impact was negative €582 million, reflecting lower partner new vehicle, engine and KD business as well as lower volume on our Renault Group brands, as mentioned previously. The RCI Banque and other bucket was negative €74 million. RCI contribution increased by €44 million, excluding ForEx impact. It also includes the result of other activities beyond the new car business. These positive effects have been more than offset by the negative impact of the increase in our sales with buyback commitment for €69 million and non-recurring items. Currencies weighed in for negative €2 million with a positive effect of €24 million in the auto business and a negative one of €26 million from RCI. On the auto side, the negative impact of the Argentinian peso was compensated by the positive effect of the Turkish lira on production costs. AVTOVAZ contribution decreased by €49 million versus 2018. This results from the aforementioned net decrease in one-offs between 2018 and 2019. If we continue down the P&L with other operating income and expenses on Slide 23, these items amounted to negative €557 million versus negative €625 million in 2018. The 2019 expenses mainly result from two factors: first, the impairment and other charges for about €300 million, primarily in China and Argentina. In China, as you know, in the context of drastic change in market conditions, we’re facing operational challenges and are far from our initial business plan. This situation and sales volume significantly below our initial expectations explain the impairment of our Chinese vehicle programs. Current volatile economic conditions in Argentina and volume perspectives led us to impair our remaining assets in the country as well. Secondly, restructuring costs represented a charge of €236 million, mainly related to ongoing early retirement plan in France. Let’s continue down the income statement on Slide 24. Net financial income and expenses stood at minus €442 million compared to minus €353 million in the previous year. Group’s funding cost was quite stable, but we received fewer dividends from some associated companies, and we booked miscellaneous charges not directly related to that. On Slide 24, the contribution of associated companies came to minus €0.2 billion compared to positive €1.5 billion in 2018. Nissan contributed €242 million, down €1.3 billion. The contribution from other associated companies came to negative €432 million and is mainly related to the operating losses of our Chinese joint ventures, DRAC and RBJAC, and write-downs of their equity values. If we go back to the P&L on Slide 26, we see that the net tax charge for 2019 came to €1.5 billion compared to €0.7 billion in 2018. This includes a non-cash charge of €753 million due to the discontinuation of the recognition of deferred tax assets on tax losses in France. Bottom line, net income after tax stood at €19 million versus €3.5 billion in 2018. Having completed the analysis of the P&L, let’s now turn to Slide 27, which shows the change in automotive cash. Cash flow from operations totaled €4.1 billion versus €4.4 billion in 2018. It was, of course, impacted by the group’s drop in operating profit, but it benefited from a higher dividend from RCI at €500 million compared to €150 million in 2018. Changes in working capital requirements improved €1.8 billion versus €0.8 billion in 2018 and shows the results of our commitment, our continuous efforts to optimize our working capital management. It also includes a €0.8 billion positive impact coming from leased vehicles, up from €0.4 billion in the previous period. Net tangible and intangible investments came to €5.8 billion. This is almost €1.2 billion higher than 2018. This increase came from CapEx for €450 million to prepare our industrial base for upcoming new products and to adapt the industrial footprint to changes in demand for engines. It came also from higher capitalized R&D for €230 million and from an increase in our leased vehicle pool of €1 billion, almost €500 million more than in 2018. Automotive operational free cash flow, including €28 million from AVTOVAZ, was positive at €153 million. Dividends received from listed companies in the period totaled €0.6 billion, while our dividends paid amounted to €1.1 billion. Financial investments and other represented a charge of €0.7 billion. Key drivers are investments and recapitalizations in our Chinese subsidiaries, in particular, JMEV and RBJAC, and the transfer of our mobility investments from RCI to the automotive branch. Non-cash, Forex and IFRS 16 application after January 1, 2019 accounted for a €0.3 billion negative impact. Groupe Renault’s net automotive cash including AVTOVAZ decreased by €1.3 billion to €1.7 billion. At December 2019, liquidity reserves of the automotive activities including AVTOVAZ stood at €15.8 billion, in line with our internal target of at least 20% of our revenues. This level of liquidity by far exceeds our needs in the years to come, as we’ve done more than what’s strictly required in terms of refinancing. We will continue this cautious policy as long as refinancing terms remain so advantageous. Slide 29 shows the status of our inventories at the end of the year, excluding AVTOVAZ. Global stock stood at 599,000 units versus 622,000 at the end of 2018. This level represented 68 days of supply versus 70 days at the end of 2018. Finally, in a declining global automotive market, RCI Bank and Services consolidated its commercial performance with €21.4 billion of new financing compared to €20.9 billion in the previous year. Average-performing assets totaled €47.4 billion, up 6.8%, mainly driven by growth in the Europe region, up 6.1%. Net banking income as a percentage decreased by 3 basis points to 4.31%, mostly due to the impairment of mobility start-ups for about €20 million. The total cost of risk remained very low at 42 basis points of average-performing assets, confirming a robust acceptance and recovery policy. The slight increase compared to the 33 basis points in 2018 was mainly driven again by the impairment of assets relative to our mobility investments. Operating expenses amounted to 1.26% of average-performing assets with a cost-to-income ratio at 29.2%. RCI Banque demonstrated once and again – once again its ability to control costs while accompanying strategic projects and business growth. Return on equity reached 17.1% versus 19.2% in 2018 due to the increase in net equity required to meet ECB funding ratio. Pretax return on assets reached 2.8%. Bottom line, for 2019, the contribution of sales financing to the group’s operating margin totaled €1.223 billion compared to €1.204 billion in 2018, including a negative year-over-year Forex impact of €26 million. The review of RCI performance completes my presentation, and I now give back the floor to Clotilde for the presentation of Renault’s outlook for 2020. Thank you.
Clotilde Delbos: Thank you, Thierry. As for our 2020 challenges, some of them will remain the same as in 2019. It was true last year. It’s still true this year. We have a low visibility on demand. One of the greatest challenges of the year is the CAFE regulation, which will require new energy mix pushing us to sell more electric and electrified vehicles to our customers without knowing what their response will be. We still need to manage enrichments and regulation cost. We indeed significantly improved the perceived quality and the content of our vehicles to close the gap with our competitors. We will control the impact of this cost beyond what will reflect on our pricing policy. In these times of tough competition and fast-pacing regulation, we’ll also need to make our R&D and CapEx spending more efficient and arbitrate carefully while protecting the future. Finally, China is a cause of concern, partly because of the coronavirus situation impacting our supply chain, but we also need to fix our performance in the country. We’ve set clear levers to help us address those challenges. First, thanks to the electrification of our range, we’re confident we will reach our 2020 CAFE target. Our pure electric and electrified lineup is most – the most affordable and competitive there are on the market. In 2020, we have our brand-new ZOE on the road. We’re off with a strong start with almost 10,000 units sold in January in Europe, and our order book is very solid. True to our commitment to provide affordable e-mobility for all, we’ll launch Twingo Z.E., and next year, an urban electric model under the Dacia brand. After that, we’ll expand our lineup to more high-end products based on our common platform, CMF-EV, starting in 2021. On the hybrid side, this year we’re launching New Clio E-TECH, New Captur E-TECH Plug-In and Megane E-TECH Plug-In. We chose to equip our best sellers with our brand-new hybrid technology E-TECH because that’s where the sales are. In 2019, Clio and Captur alone represented more than 35% of Groupe Renault sales in Europe. That’s for our assets. Now let’s talk about how we leverage them. All relevant functions and all level of the company are fully committed to our CAFE target. Country-by-country, from the supply chain to the dealer network, month-after-month, we are keeping a close eye on the market and how we need to meet the demand. This should lead to the following mix, which will make the group compliance with regulation: 10% BEV and PHEV; 30% HEV and diesel; and about 10% of LPG, mainly on our Dacia for latter. We’re confident we’ll bridge the gap from our 2019 level to our 2020 target. This is our road map to reach our 2020 CAFE target, which is 93 grams. I’d like to add that on top of this road map, we would benefit from the pooling from – with Nissan Motors and Mitsubishi Motors. As for our second lever, we’ll maintain our effort on pricing policy. Driven by New Clio and New Captur, our upcoming launches worldwide and the introduction of E-TECH will keep improving our price positioning. We’ll also strengthen our international presence with launches such as New Duster in Brazil, XM3 in Korea and New Captur in Russia. Another very important lever is the Alliance. As proven by what has just been decided, the Alliance is starting 2020 with renewed dynamism. We should see the first fruits of a new – of our new framework for action in the course of the year. Beyond the Alliance benefits, we keep transforming the group through cost reduction measures and efficiency programs. We intend on reviewing numerous items with no taboo, including our industrial footprint worldwide and subcontractors policy, our make-or-buy strategy and our non-core assets. We’ll also implement the leader-follower strategy within the Alliance. Those performance levers will be all the more efficient as we’ll count on new talents, both from the inside of the company with Denis Le Vot, and from outside of the company with Gilles Le Borgne, who just joined our top executive team and, of course, with Luca de Meo arriving on July 1. I will now let Gilles share his views on the efficiency gains, untapped potential and improvement levers he identified with his experienced yet fresh eyes on our operations.
Gilles Le Borgne: Thank you, Clotilde. Hello, ladies and gentlemen. So I’m the newcomer in the company. I’ve been in the Alliance for only five weeks. So it’s a brand-new testimony that I will give to you. First of all, I saw huge assets but also huge area of improvements. If we talk of improvements, I would say that engineering and CapEx-wise, we are really far from excellence, and we have a lot of improvement capabilities. Just a word on some example. Today, our outsourcing costs in France are far too high. Our diversity, flexibility from what I know is very high, and we need to get this done drastically. And another thing, which is very important, is the cost of validation. So beating the number of means of validation or the number of people that are performing those validations. So a lot of room for improvements. On the other side, we have really good assets. I will start by the car. So I have the chance to ride and drive each and every car of the lineup, and I’m still going on that way. And just talking about the very last one, the Captur and the Clio. Those cars are really gorgeous, and they are very high performances. We are going to introduce, and I’m currently commuting with the new E-TECH technology. And it’s very efficient in terms of CO2. I would say that it’s far more efficient than the conventional P248V that you could find in the competitor – with the competitors. And at the same time, it’s affordable. So that’s very important because you know that BEV and PHEV are very expensive, and with these technologies, we have really a clear build in the works. Coming back on engineering. I would say that we have a clear asset with our worldwide FTH, what we call LTP, so engineering technical center. They are settled worldwide with India, with Romania, with Spain, with Korea and Brazil. And we must leverage this asset, these center of competencies. It’s not really the case today. And finally, I will close with the Alliance. So on top of the existing synergy, you know that two weeks ago, we introduced the concept of leader-follower. And we have a lot to gain with this concept, be it on the, I would say, countryside, be it on the sister car communalization or on the system approach. We need to avoid in any duplication of work, and so we are working hard on that. And I think that we – there is a lot of space for improvement. So to make the story short, I think that we will make it. No doubt. Thank you.
Clotilde Delbos: Thank you very much, Gilles. As for our outlook in 2020, the world market and the European market are expected to head downwards again by at least 3% for Europe, and the Brazilian market is expected to grow by 5% and Russia to be down by 3%. In this very uncertain environment, we set a relatively cautious guidance reflecting our visibility, which is limited. This is especially true for operating margin, but I would like to stress that it will be impacted by a significant increase in our depreciation charges, which would explain a large part of the operating margin change. As this is a non-cash impact, we can target the positive operational automotive free cash flow before restructuring. One word on dividend. In view of the current situation, we decided to fix the dividend on 2019 at €1.10 per share versus €3.55 last year. To conclude, as you can see, we still have a lot to do. Our goal is to cut our structural costs by at least €2 billion within the next three years. At the latest, in May, we’ll be sharing more about how the Alliance will operate along the lines notably of what Gilles just said. And we’ll enter into more detail on the corrective action I’ve just mentioned. While it should take some time before seeing the main fruits of these measures, I’m fully confident we’ll have all the assets, talent and discipline for a brighter future. Thank you very much for your attention, and I will now take, with the team, your question. Thank you.
A - Thierry Huon: So we’re going to start the Q&A session. So we’re going to start with the room, and then we will turn to the call. Thomas, as usual, number one.
Unidentified Analyst: I have three questions, please. First, can we start with the decision on dividend and what it implies for your confidence or the group confidence on liquidity cash? I mean there’s been key concerns on the market that have taken your stock price down, let’s say, very fast in the recent weeks. Can you talk a bit more on that, why €1.10, why not €1.70, why not 0? And shall we expect the dividend again in 2020 – or 2021 for 2020? That’s the first one. The second question, in my view, at least as important. On the Alliance, I mean there’s a lot of motivation from both sides to show that you want to work together. But I mean the market is clearly not trusting this show of confidence in this new triumvira on both sides. Can you help us understand how that’s effectively going to work, the leader-follower system? Nissan yesterday, for instance, said they would, of course, be leader on powertrain, which I find funny because it’s always a topic that nobody wants to give up. So can you help us understand on that? And the last one, to follow-up on the comments that Gilles made. What kind of EV mediums do you need to sell this year with the brand-new ZOE? And to follow-up on the second question, why does it seem that the Alliance products for EVs is postponed, postponed, postponed? Looking at your charts, it looks like it’s more like H2 2021. And as you’re going to have to lead with Twingo and the Dacia EV, more than the SUV, that would be helpful now.
Clotilde Delbos: Okay. Thank you, Thomas. On the dividends, clearly, the decision that which was made was to adapt the dividend policy to the current situation. Why €1.10? I think we had a lot of discussion on that. In my view, it’s – you can look at it both ways. Either half of what we received last year, meaning we keep half, or roughly what, in normal years, at least, Nissan and Daimler should pay off. Obviously, yesterday, Nissan announced that they will not pay something on the first half. But nevertheless, we’re very confident that with that level, it’s the right balance between what we need to keep in order to reinvest, especially in restructuring, and what we should reward our investors with. Regarding the cash, I was, to be honest, very astonished by that note because it is clearly not the perception that we have inside the company. We have, as we showed, more than almost €16 billion of available cash with Renault without counting the captive. As you’ve seen, the schedule for redemption of the Renault SA debt – long-term debt is not complicated in the coming years. We have less than €2 billion in redemption of debt. I forgot to mention that the available credit lines that we have with our banks is without any covenants. So we’re very confident that there is no topic on cash availability within the group. It’s amply sufficient to face movement in working capital, restructuring needs, et cetera, et cetera. So on the cash situation, I fully do not share the analysis made by Citi. And that’s why we decided that as we’re not in a desperate situation by far, in view of that situation, we should reward, one way or the other, our investors that still follow us. So €1.10. It’s not extremely mathematical, half of what we got, probably what we should have gotten this year. Not exactly going to be the case, but we can afford it. So that’s the first answer. And for 2021, it’s clearly too early to say. Let’s see how 2020 goes, and then we’ll make the decision on 2021. On the Alliance, on the motivation, you’re fully right. There’s a huge level of motivation in the three companies. I can assure you that the discussion we have with Uchida-san, with Masuko-san and Jean-Dominique Senard are extremely open, transparent, frank. And the opinion, I would say, or the conviction that the three companies need the Alliance and will be able to make the Alliance work for the better of the three company is fully shared among the three companies. I agree with you. I guess the market today doesn’t buy, and that’s normal. The market wants proof, not just talks. And those proofs, we intend to give them pretty soon in May, as I said. We need a little more time between the announcement we made in January and making the exact detail on how it will work. Actually, we have lengthy – not lengthy, but fruitful discussion with our counterpart. Gilles was talking on a weekly basis with these two counterparts, defining what exactly the leader-follower means. I think it is clear in engineering what needs to be done, to answer to your question, is exactly who’s going to do what. This is not fully settled. So we’ll come back to you on that when it’s decided. But how it will work in engineering is very easy. One team of the three companies will be dedicated or in charge of the development of one element, be it a platform, I’ll come back to that; be it a technology; be it a powertrain, not necessarily all powertrains; be it, yes, the technology powertrain platform. I guess that’s most of it. And what it means is that the intent is once it’s decided whose company is leading, they will do the work, 100% of the work, i.e., with people from the other company going physically to join the team to help making sure that the DNA of the other companies is respected and that the specification, which might be linked to the other company, are respected. The idea is often to go further to what we used to do in the past, i.e., if you have a platform, in the past, it was then going to the companies to develop the upper body, and that’s where you lose a lot of commonality. And the idea today is to see – the upper body should be developed by the same team or company which did the platform so that you ensure the right level of technology, again, was representant of Renault, in the case, Nissan developed – or Nissan, in the case, Renault developed, same with Mitsubishi, so that the team is in the same place developing in one room the set of objects that needs to be done on the platform. That’s what we intend to do. You understand that now that the concept is fixed, we need to tackle the detail, decide exactly who does what so that we can come back to you and explain exactly who’s going to be in charge of what. And I fully agree. As long as we are not able to show proof, it’s normal that the market is not yet buying the story. On EV volume. As I said, we need to have 10% of our sales for BEV and HEV next year – sorry, BEV and PHEV, sorry. And we’re confident we’re going to do that. As we said, it represents a strong increase in the ZOE sale, but we’re very confident because, again, the new ZOE is extremely good, completely changed in terms of perceived quality. The range is really what is necessary for such a car. And it’s a car which is the most affordable in terms of ratio autonomy versus cost. Now I don’t agree with you on the fact that we are postponing and postponing the next generation on EV. On the contrary, I think we’re putting more easy products on the lineup than what we had in mind before. It was not planned to have a Dacia city urban car in Europe. It was not planned to have Twingo EV in Europe. This is a decision that has been made in the past months, which are adding to the lineup of EV. The Alliance EV. Ali, do you want to say a word?
Ali Kassaï Koupaï: Yes. In fact, we didn’t postpone. The approach we had since years is to start with the usage of the customers. And when we look at the usage of the customers that we know quite well because we have been one of the first in facing the ZOE on the street, it shows that it will start with users in urban conditions, and this is why we are going from A segment, Twingo and then the Dacia and then going to bigger ones. So the ones who are going to big SUVs with big batteries, this will come, but it has condition, which is the mileage, the polyvalence and the network. So when we look at the customers, it will take a little bit of time to go wide on the C segment bigger series. That is why the sequence is what it is at Renault.
Thierry Huon: So Gaetan, and then we will go to the call.
Gaetan Toulemonde: I want to come back a little bit to the question raised by Thomas. But more importantly, can you explain or give us a little bit of an idea of this restructuring? Because when you talk about the €2 billion fixed cost reduction, what I have in mind is that you have approximately €10 billion of fixed cost. So we talk about 20%, pretty significant. And linked to that subject is that you highlighted that guidance of the operating margin this year is linked to a significant increase of depreciation. At the same time, you give a guidance of positive free cash, excluding cash-out. Can you help us to circle that number a little bit more, just the big number? First question.
Clotilde Delbos: Thank you, Gaetan. We have made the assessment that, indeed, our fixed cost level has been dimensioned for bigger number of sales in a different world than what we are in today. So now we need to scale back drastically. Your number – but around 20% is not off line, I would say. And that’s why we’re looking for at least €2 billion in three years. It’s significant, you’re right, but we have already a first set of ideas where it would be. As I mentioned, industrial footprint, but also, most importantly, everything we can do to be a lot more efficient in R&D, starting with subcontracting, make-or-buy decision, leader-follower, that was going to help also. And all that G&A, we’re looking into the G&A. We’re looking on the leader – on the reference region also for the Alliance, that should help us reduce the G&A drastically. We’re looking at our marketing expenses. We think we can do a lot better. Also, we’re looking at our non-core assets, and we have some that we can still dispose of. So it’s a bunch of many things, which we have started the work a few weeks ago. We’re in the process of refining the work. It will take a few more weeks. Obviously, we need to discuss with the region. We need to discuss with our different stakeholders. And only when this work is done we’ll be able to disclose to you the exact program. This is the intent of what we want to do in May. And that’s why we don’t give a more precise guideline because as long as this work has not been done, it’s not possible to define the amount of restructuring costs we’re going to have because some of these elements I just mentioned are without any restructuring costs. When you’re going to tackle subcontracting, there’s not going to be any restructuring costs for us. When you’re talking about selling assets, you don’t have any restructuring costs. We need to refine the work. We have an idea, but it’s really too early to mention. We know that it will be a lot more what you have in a normal year. A normal year is €150 million to €300 million. It should be a lot more than that, definitely. But before we give you a definite number, we need to do that granular work, talk with stakeholders, and then we can give you the detail in May.
Gaetan Toulemonde: Okay. But when you mentioned lower operating margin due to higher depreciation, so you have an idea about the incremental depreciation. Can you give us the number?
Clotilde Delbos: Yes. It’s about one point of margin.
Gaetan Toulemonde: Okay. That’s clear. Second question, I have difficulties to understand you can announce a plan in May where you have a new CEO coming three months later. So he’s going to have to support the plan. He’s probably not involved, not backing it up. So can you explain the logic?
Clotilde Delbos: Yes. Very good question, and thank you for asking because I think it is worth clarifying. What we will announce in May is not a full blended plan because you’re right, I don’t think it would be very appreciated by the new CEO to come and we give him his road map and say, "This is it now. Please do it." This is not at all the intent. The intent in May is more to give you the grounds, I would say, of this plan. First, the Alliance. We announce things, how is it going to work, how is it going to impact our cost base. Second thing we intend to give you in May is all this road map because the new CEO will come, he will have plenty of ideas, for sure, but I’m sure he will share the fact that we need to reduce our costs by at least €2 billion, that is sure. So we’re going to lay out the program, the plan in order to achieve, start to do so because I don’t think we can wait. Because when Mr. de Meo is going to join, it’s going to be July 1st. By the time he gets into understanding the company, we don’t have the luxury to wait up until, let’s say, the fourth quarter to have a full blended view on what needs to be done on the cost side. Obviously, he will have a lot to say, and we will share with him what should be the vision, what should be our road map 2022, 2025, but for the cost base, we can’t wait. So that’s why in May, what we’re going to give you is Alliance, concrete example of what will change and what – how it will impact the three companies. And for us, our self-help measures, if I may say. What do we do to make sure that the breakeven point is going down and by how much? What does it mean in terms of industrial footprint? That, we can do without waiting for the new CEO because we need to act now.
Gaetan Toulemonde: Last question. Quick one.
Thierry Huon: Very last one because time is flying, and we’ve got a lot of analysts on the – waiting.
Gaetan Toulemonde: Okay. A very quick one. I was very surprised about working capital positive impact last year. Any risk that’s going to reverse this year?
Clotilde Delbos: The working capital, we still have a lot under our feet, I may say – if I may say. Obviously, it will link to this – as I say every year, working capital changes is linked to the activity of the last quarter. If the last quarter, for any reason, stops, obviously, it does reverse working capital if it stops in Europe. But we don’t expect that. We expect a market which is down but steadily down, not stopping down in September. Assuming the activity is roughly the same, we still have a lot we can do. In inventory, especially, we still have a lot of days. You saw that on the thing. I mean 68 days, we’re comfortable with that. But we can go down in terms of new vehicle inventory, and we can go down in terms of inventory in the plants for sure. And there are still lots of things we can do also in terms of accounts receivable management. We still have some overdues we can deal with. There’s quite a lot of things we can do in terms of accounts receivable and in terms of inventory mostly. I think in terms of payable, we are normal payment terms, so there’s not much we can do on that front.
Thierry Huon: Thank you. We’re going to turn to the call with any – waiting for asking questions. Who is next?
Operator: Thank you, sir. We have one first question from Mr. [indiscernible] from Bank of America. Sir, please go ahead.
Unidentified Analyst: Yes, good morning. And thanks for taking my questions as well. I’ve got a few. First of all, maybe you can comment in the context of the structural cost cuts that you’re aiming for. What has happened to this old monozukuri guidance that now the monozukuri savings are going to accelerate the next two years since you have installed the new CMF-A/B platform? That’s number one. The number two is on this – on the electrification plan that you have. Could you maybe comment on the price positioning of your upcoming e-vehicles like the Twingo ZE and also this Dacia urban city car? And then last is on Slide 37, you mentioned this ICE and mix management, which seems to play an important role for 2020. Can you maybe explain what is behind that? And you stop selling now cars with too high CO2 emissions, and which we vehicles would that be? Thank you.
Clotilde Delbos: Thank you, [indiscernible]. On monozukuri, no, we’re not dropping the guidelines on monozukuri. Obviously, this is very important. Everything we’re trying to do to reduce cost means that we’re going to try to improve monozukuri on one side; everything, which is in the content in our car, on the second side; and G&A, obviously. If you want a guidance for 2020, I would say, taking into account what I just said in terms of the impact of depreciation, which is 1 point, you will make the calculation. So because of this depreciation impact, our guidance for monozukuri would be more – slightly less than what we have this year, around €400 million, because of this 1 point of monozukuri. Taking also into account that at the end of the day, we also are reducing our R&D spend, which means that if you have less R&D spend, you also have less benefits of the capitalization ratio, which also should be slightly down. So it might look low, €400 million, but if you take into account the one point in depreciation, actually, it’s a quite ambitious target. On electrification and price positioning, do you want to say a word, Gilles, on – or sorry, Denis, on the two questions? Electrification, price position and mix management.
Denis Le Vot: Yes. This has already been mentioned before. This consists of three things. The first one is, of course, the management of the follow-up of the CAFE, which is already established in the company, as was mentioned, by country, by dealer, by region, by month. Second, of course, your question is the offer. Today, we have one main product, which is pure electric, which is ZOE New, which you can have for a monthly fee of €169 in Europe. So this is affordable electrical mobility that we are doing, and we shall continue. As for 2020, as was mentioned by Ali, in the very same way on pure electric, which is the appearance at the second half of the year of the Twingo EV, and then later on, the Dacia, as we mentioned, a small EV. And the third thing beyond that is not only pure electric, but it’s also electrification in general. It was mentioned by Gilles how competitive the solution for e-tech were. So this can – we can foresee here also affordable electric mobility when we’ll come to the market, the HEV and PHEV on Captur and Clio. And also to mention, we are continuing the efforts in the offer and not, as the question was, cutting the most CO2 higher cars but more like having better offer. And don’t forget that we’re going to offer full LPG range on the whole Dacia range in Europe, which is also very helpful. So today, we have comprehensive offers. I didn’t even mention the fact that we have 42% market share on the Kangoo EV on the LCV market and that we have the most comprehensive LCV electric offer on the market.
Thierry Huon: Thank you, Denis. So we’ll come back to the call, but please stay with two questions because time is flying, and we have a long list waiting for asking questions. Who is next?
Operator: We have a question from Mr. José Asumendi from JPMorgan. Sir, please go ahead.
José Asumendi: José, JPMorgan. A couple of questions, please. So Gilles, can you speak about if you can cut the absolute level of CapEx in 2020 versus 2019? And can you give us any guidance as to if this is possible, tangible CapEx down year-on-year? To capitalize R&D, can you be a bit more sort of specific on the level of capitalized R&D level we should see in 2020? And then maybe second item will be simply sales to partners has been a substantial decline in revenues in 2019. How should we think about this category in 2020?
Thierry Huon: The first question was about the cut-off CapEx expected in 2020.
Clotilde Delbos: Okay. Yes, sure. In terms of R&D and CapEx globally, we never give a guidance of the two separately, but we were at 10.7% this year, if I may recall. The objective is go down closer to the 9%, but we will not reach it in 2020. But clearly, we should go back more in the region of where we were in 2018 in terms of ratio, R&D and CapEx. That’s the goal we gave to the team. In terms of sales to partner, good question. We were hit hard in 2019 on sales to partner. Unfortunately, it’s going to continue to be a negative next year. One or two reasons for that. First, the production of the Rogue in Korea stops because the car is not being produced for the Korea – for the U.S. anymore from Korea. And diesel should continue to slightly go down even more. So that should go back down in terms of sales to partner again in 2020. Now that being said, we’re working on many other new elements, which might not be bringing their fruits completely in 2020, but we already are – you already saw it’s a small amount, but nevertheless, it’s a good illustration of what the Alliance can do, what we announced with Mitsubishi for Oceania. We are working also to extend our relationship with Renault Trucks that is very promising. We have completely re-launched, I would say, a whole bunch of ideas with Daimler within the Alliance, it’s not only Renault but with Daimler, on many, many cars. You know that we’re already working with them on Citan, and we’re looking if we can do other things with them in the LCV business, but again, not only also in LCV. And we are in talks with other potential partners on other elements, but too early to say. So again, 2020 should be another down in terms of sales to partner, but the pipe is starting to look interesting in terms of new ideas with partners for the future.
Thierry Huon: Thank you, Clotilde. We’ll come back in the room. So Bruno?
Bruno Lapierre: Bruno Lapierre, Credit Agricole. Two questions. One on the RCI and the dividend. There is a big swing in dividend from RCI in 2019. What could we expect for 2020, assuming, in fact, a stable operating performance of RCI? And what also, in fact, that could be the maximum dividend that RCI could distribute, or into the regulation in equity, per se? And second question on the rating. The rating of Renault SA, in fact, is getting under pressure. So what kind of measures could you put in place beyond the operating, restructuring or turnaround, which will take time to bear fruit, to protect, in fact, your rating? Or are you ready to operate within high-yield rating?
Clotilde Delbos: Well, thank you for the question. On RCI – so on RCI, RCI dividend on the 2018 year was €200 million. €150 million was paid as a prepayment in 2018, and €50 million, the remaining payment, was paid in 2019. We did not yet disclose the dividend on the – because – on the full year 2019, but it will be a lot more than just €200 million globally. We already paid a prepayment of €450 million in 2019. The remaining amount is going to be paid in 2020. So globally, in 2018, cash wise, we received €500 million, which is a good amount. So globally, what I can say on RCI, the dividend on 2019 will be a lot higher than what we used to pay in the past and what we will pay in the future. I think for your modeling purposes, you should take something around 40% to 50% of the net results to be paid in the coming years. It is not the maximum we could pay. We could pay more, but we think it is what should be paid in view of the ever – always ever-evolving regulation of the Central Bank in order to be in advance of what we need to keep in terms of equity in view of, again, the regulation, which is changing almost every year. So we think by paying this type of dividend, we have a right balance between return to shareholder of RCI, i.e. Renault, and protecting the capacity of the bank. In terms of rating, you’re right, we have been under pressure. Today, we do not foresee any additional action to launch aside from what I already said, i.e., self-help in terms of reducing our fixed costs and doing it drastically in order to prove to the market and the rating agency that we’re taking the necessary measures. And also ensuring a right level of liquidity, which some rating agencies are very – looking at, if I may say, which is a very important weight in their decision to adjust or not the rating of the company. As already mentioned, almost €16 billion of liquidity in Renault, a very big amount also in RCI. We do not intend to do anything else than these two action for the moment.
Thierry Huon: Okay. Stephen in the room, and then we’ll get back to the call.
Stephen Reitman: Okay. First of all, a technical question about the automotive net financial position. I mean the change in leased – the leased vehicles, which you now put into change in work capital, this is purely just a reattribution from leased vehicles, which you had in net intangible assets because, obviously, the figure has gone quite lower as you’ve increased the leased vehicle element in the net intangible and fixed that in investments. And it’s – and obviously – but you have a countervailing effect now on the – in the – and kind of what kind of impact might that have in 2020? And second question to Mr. Le Vot. Obviously, you said you’ve been driving the cars now, the rental cars now, but obviously, you were looking at those as competitor as well when you were at PSA, so these are not as such of a surprise. Maybe you could comment your first initial impressions on the efficiency and technical capability of the Alliance platforms. How they compare to what you were doing at PSA? And really then how efficient and what potential you think you have there as well? Thank you.
Clotilde Delbos: Stephen, thank you for the question. On the buybacks, we decided to show them this time to make it clear that we haven’t changed, obviously, the accounting way of looking at it. It has been the case in the past, we were just not showing the impact on the working capital. But if you look at it, net-net, it has no impact because you have – for example, here, you have €1 billion negative on the investment, you have €800 million positive on the working capital and you have an impact on the P&L for the rest, which is on the left part on the slide. So net-net, it has no impact. So that’s why we have don’t have a – we do have an assumption for 2020, but it’s not really relevant. It should be lower, but it’s not relevant to take that into account because, again, net-net. And when we give – obviously, when we give guidelines in terms of ratio, R&D and CapEx over turnover, it’s excluding buybacks. So this is the real cash-out that you have in the company. Gilles, on the other question?
Gilles Normand: Thank you for the question. Difficult answer. Well, I left a 5-million car company. And you know that because of this volume, we had – the decision was made to do and to go to multi-energy platforms. Here, we are in 9 million Alliance company, and the choice, the past choices were – was to make both, I will say, conventional IC but in a way multi-energy. If you talk to LCV, for example, that’s multi-energy platform. It’s the same for CMF-B, which can have IC but also PHEV and HEV, but also to have a dedicated EV platform. And from what I saw, I can testimony that those platform are efficient in terms of product, in terms of space, roominess, in terms of where it is constructed. But at the end of the day, what counts is really the number of cars that you are doing for one platform. And here is my – I would say, there is a lot of room for improvement. Why? Because we have platform also on room already in the Alliance. It’s very – CMF-B is Renault, CMF-CD is Nissan. CMF-EV is Nissan. So that’s perfect, and the job share is very clear, following, I would say, the leader-follower concept. But at the same time, the body types are done in different places, and frankly, that’s silly. We need to do program because as soon as we do program, the efficiency of the body types design is far more – is increased a lot. And that’s the essence of what we want to do in the future. So – well, it’s good. We have the production volumes that enable us to have dedicated EV platform. And Renault and Nissan are front-runner on this – in this field. So of course, we need to use them but to use them in a very efficient way. For the, I would say, more conventional, the leader-follower scheme is already in place, but we need to extend this leader-follower on the top adds.
Thierry Huon: Okay. Thank you, Gilles. We’re going to get the next question from the call.
Operator: The next question is from Charles Coldicott from Redburn. Sir, please go ahead.
Charles Coldicott: Thank you for taking my questions. Firstly, you had very strong sales of the ZOE in January, as you said, more than €10,000 – I’m sorry, 10,000 units. Can you just comment on whether or not that was demand that’s built up ahead of the New ZOE launch or whether we should expect that level of sales to continue through February and March and onwards? And maybe also you could comment on, in January, how far away you are from complying with the 93-gram target in Europe? And then my second question is just a point of clarification. For your automotive free cash flow guidance, would you expect it to be positive if we were excluding the effects of changes in working capital in 2020? Thanks.
Clotilde Delbos: Okay. So I will say – I will give maybe a word to Philippe on ZOE. But clearly, I mean, like anybody, it’s no secret that we took the opportunity to deliver more in January and less in December in order to have a stronger impact on the CAFE 2020. I think you saw that it’s not only true for electric vehicle on the industry, I’m not talking Renault in particular, it’s also true for other cars, which explains, by the way, the very big drop in January in the European market. I think we have a strong order book. I think Philippe can confirm. Very strong order book, but you’re not going to see 10,000 every month, even though the ramp-up should bring us there because at the end of the day, our internal target is to try to sell around 100,000 ZOE cars in the year. Philippe, do you want to add a few words?
Philippe Buros: Yes. Thank you, Clotilde. As you say, we have more than 10,000 ZOE in January, yet what I can say is the portfolio at the end of January is above 10,000 also. And the very good news we will see this week is a new incentive in Germany with €6,000 for EV. And as we start with the new incentive, we take more than 100 orders a day. So I think it’s very good news for the year.
Clotilde Delbos: Thank you, Philippe. Now obviously, if you were to look at where we are at the end of January in terms of emission, we’re clearly not where we need to be at the end of the year, but it’s normal because we haven’t launched our hybrid car yet. They will come around the middle of the year. So we have a road map, very clear, that we’re going to follow – we are following on a monthly basis at the Executive Committee level, making sure that we will be on the road map, starting higher than what we need, finishing lower than what we need in order to be at the average that is requested by the end of the year.
Thierry Huon: Working cap without
Clotilde Delbos: Yes. No, we never – yes, sorry, I forgot that question. No, we’re not committing on anything else but being free cash flow positive, excluding restructuring expenses. As I mentioned earlier, I strongly believe that we still have a lot of things we can do in terms of reducing inventory, reducing accounts receivable. So I think it would be a bad decision for us not to try to do these management levers in order to continue to benefit some working capital improvement.
Thierry Huon: Thank you. Next question from the call.
Operator: Next question is from Mr. Tom Narayan from RBC. Sir, please go ahead.
Tom Narayan: Yes. Tom Narayan, RBC. Thanks for the color on the ZOE, that’s very impressive. The question I have there is France, your home market, is – notably has not the best public charging infrastructure. And I’m just curious if you have data yet on where people are charging their ZOEs. Are they charging them at home? I know you guys have – since France has a pretty high single-family home penetration, perhaps that’s what’s happening there. And then on palladium, just curious to see – we’re hearing different things from different auto makers on the headwind expected 2020 on the big rise in palladium for catalytic converters. I’d love to hear your thoughts on that.
Clotilde Delbos: So I will give the word to Gilles. But before he says, one thing I don’t know if we ever shared with you. When we launched ZOE six years ago now, we intended to have ZOE as a city car. But what we discovered is that at the beginning, at least, I don’t know if it’s still true, 50% of our ZOE were sold in rural countries. And why is because in rural countries, it’s more difficult to find a gas station than to have a plug at home. So – but I will let Gilles make more precise answer.
Gilles Normand: Thank you, Clotilde. So it’s still the case. About 50% of ZOE are sold in rural area. Now to answer very concretely, about 80% of the charging spot – charging operation by our customer is made either at home or at office. It’s obviously slow going to go for motorway charging or destination charging. And this is why it’s very important that you have now very much private investment mirroring public investment in building infrastructure. As you know, if you look at motorways, now on petrol station, you will have more and more petro station chain who are investing in public infrastructure, and this is very important to help to grow the volume of EVs.
Clotilde Delbos: Thank you, Gilles. On palladium, it’s true that it is today our main concern when we look at raw material. The price of palladium is skyrocketing, and – but that is true for everybody. What might be different from one OEM to the next is the choices – the technical choices that have been made and the amount of palladium every OEM is using. I’m not sure we’re the best placed in terms of the amount of palladium that we are using in our cars, but we’re looking on how to improve that.
Thierry Huon: Okay. We’re going to get back in the room. So Philippe?
Philippe Houchois: Yes. Philippe Houchois, Jefferies. Two questions. I mean the fir stone is on – maybe a clarification. But the UK, is no longer in EU as of the end of last month. Does the UK, have the power to actually levy fines for you on non-compliance on CO2? Or does it change your commercial policy? You don’t have to comply in the UK, and give you a bit more freedom to comply elsewhere? Just for me, a point of clarification. The other question is probably more strategic and probably more addressed in May. You are confident about your liquidity, and of course, you’re going to be confident about liquidity as that’s your job to us in public.
Clotilde Delbos: I confirm, I’m also confident in private.
Philippe Houchois: Good. Nevertheless, you’re going to have probably, after restructuring, negative free cash in 2020, if I understand your guidance correctly. You’re kind of income-poor but asset-rich still at Renault. And I’m just wondering, have you at all considered the possibility that – I’m assuming that Nissan still wants to have Renault as a smaller shareholder within the Alliance. And I don’t think they’ll change – they’ve gone very far in fighting that fight. I don’t think they’ll change view. Have you considered something like doing exchangeable in Nissan shares where you basically add capital to Renault at relatively low cost and, of course, give a chance to Nissan to buy those shares maybe in three or five years? Because you may be confident here on your cash flow and your liquidity, of course, but the market obviously isn’t. And so you have to kind of take that into account, considering that your cash flow – your real cash flow after restructuring is going to be negative this year, and restructuring is going to continue for a while.
Clotilde Delbos: Thank you. On the first question, I’d like to ask Jean Philippe, I mean – who is our master in CO2, to answer the specific question on UK.
Philippe Buros: Okay. You’re right. It has been an uncertainty for some months as we didn’t know how Brexit would end. But it is clear now that UK will be in the CAFE – Europe CAFE for 2020. It won’t be the case for 2021. So your question is relevant for next year but not for this year.
Clotilde Delbos: Thank you, Jean Philippe. On the second one, are we considering today – or did we have even 1 single discussion with Nissan about changing the equilibrium of shares since the new governance is in place? The answer is no. Not single discussion with Nissan. We’re focusing on what matters the most today, which is operational efficiency, making the Alliance work, making the three companies improve their performance. You saw Nissan result yesterday. Mitsubishi is not that much better. The three companies are facing, for different reason, for different reason, extremely tough times. So the urgency is really on making the Alliance work for the benefit of the three and having the company recover. So to answer your question, we did not consider today any change in the capital. If things get tough, obviously, we can look at something. To be honest, I would be a shareholder of Renault and having Renault do something on Nissan shares at the price they are today, not sure I would be extremely happy. That being said, if something comes up and needs to be done, we obviously will not be stubborn and look at it. But clearly, it’s today operation, operation, restructuring, making the company go back afloat.
Thierry Huon: Okay. We get back to the call. We have time probably for two more questions.
Operator: Next question is from Mr. Stuart Pearson from Exane. Sir, please go ahead.
Stuart Pearson: I mean just coming back quickly to the working capital point. I’m kind of surprised to hear you say you still think there’s a lot more you can do there. I guess, it’s encouraging for this year’s cash flows, if you can. But you’re already the – one of the more negative working capital players, if you like, in the industry. I think your working capital is as negative at the end of 2019 as it’s ever been. So maybe you can just help us understand where that support is going to come from? I know you touched it on receivables, but does that mean that we should presume you’ll be factoring a lot more receivables? And is that something that you’ve already made use of to date? So that’s my first question. And then just the second question is on outsourcing. I know you mentioned earlier that your costs were too high on that front, that’s something you wanted to look at. But I guess, outsourcing goes both ways, and the cost of that is paying for the benefits of flexibility. And given the lack of visibility in the industry right now, is it wise to perhaps be pulling back on that flexibility? But maybe I misunderstood that point, so if you could clarify.
Gilles Normand: Sure. On working capital, I can assure you that we still have some room on the working capital. Yes, we’re negative. It’s a construction. Every French OEM, I must say, in Europe is negative because of the way the business is dealt in Europe. We’re negative in Europe, as I already mentioned in the past, and positive free cash flow – not free cash flow, working capital in emerging countries. We still have a lot of room. You saw our numbers of days for new vehicle at 68 days. We know we can do better. We looked at the DIO, the number of days of sales outstanding in inventory, it went up this year, slightly, slightly, but it went up, whereas it should go down. We have possibility to make it go down, and we’re looking into that. So on the inventory, for sure, we have room of maneuvers. On accounts receivable, same thing. You’re right, we’re recurring to factoring but not to the same extent than some of our competitors by far. Just look at some of our competitors' accounts receivable, and you will see that we still have some room of maneuver. But it’s not the only thing because factoring has a cost. So factoring is a route, but I would prefer to have more lengthy discussion on how to bring to zero or reduce from our customers, et cetera, et cetera. There are all the things we can do, but factoring also is an option. On outsourcing, we have a lot of things to do on outsourcing. Not necessarily – if you look at engineering, discussing with Gilles, not necessarily do more in terms of outsourcing, but doing better. Today, I think we have a ratio of outsourcing which is okay, which is correct. Not too much, not too little. It is useful for flexibility, especially in these turbulent times. I think we have to keep these outsourcing levers to the level it is, provided we keep in-house the competency, obviously. It’s not to delegate the competency, it’s to make sure that we have the minimum competency in, and then the work can be delegated outside. But according to Gilles, we – our footprint of outsourcing is too much high-cost country, very little in low-cost country, whereas it should be more balanced and the reverse, much more in low-cost country even if managed by a high-cost country within the industry, and also locally managed by the local teams – local technology centers.
Thierry Huon: Okay. So maybe a last question from the call.
Operator: Next question is from Mr. [indiscernible] from HSBC. Sir, please go ahead.
Unidentified Analyst: Thank you for taking my question. The first one on the guidance. I just saw in the footnote that you assume no impact from coronavirus in your current target. Is that because you haven’t seen any impact? Or it’s because you think you can take that back as the year unfolds? And also, what are you assuming for raw materials? Are you taking them at spot in the current guidance? Then second question, a bit more bigger picture. You’re launching several new models in 2020. You’re finally rolling out the new CMF-B platform that we’ve been waiting for a long time. And yet, the Renault margin is – can be close to breakeven this year. So I mean from a capital perspective, it looks like you are burning capital from a shareholder perspective. Can you maybe elaborate on when are we expecting to see the improvement of – coming from the new platforms in terms of costs and benefits?
Clotilde Delbos: Yes. Thanks for the question, and thank you very much for mentioning coronavirus, I should have talked about it. We said, excluding coronavirus impact because we don’t know yet what the impact is going to be. I think nobody can tell, throughout the world, how long this topic is going to be impacting us. You saw that some other OEM did the same thing, did put a mention about the fact that the coronavirus was not included. Remember, we did the same with Brexit in the past, and at the end of the day, we didn’t have much impact of Brexit. So let’s hope it’s going to be the same this time. However, on that one, we are a little concerned. You saw that we had to stop our Korean plant for four days this week. It’s going to restart next week. We’ll start to have some parts which are missing in some plants. So most probably, we might have some days off here and there in the coming weeks. Nothing major if the production restarts fast, and that’s what we don’t know because, obviously, for the automotive industry, many components are coming from the Hubei area, which is the one which is the most impacted. So today, it’s a little difficult to say how this is going to impact. We have put in place a crisis management, very much like the one we had at the time of the tsunami, which was very efficient because Renault was able to really find countermeasures, maneuver in order to be able to pass through this crisis without too many damages. So we’re doing the same thing in terms of organization. The good thing is we’ve done it, so we know how to do it. The problem is we have no visibility, and I don’t think anybody has any visibility about the real impact at the end of the day of the coronavirus. Obviously, we’re hoping that the situation will improve fast so that we can go back to less concern on that situation. Again, currently, all the plants are working except Korea. Korea will restart, but some plant might stop on and off in the coming weeks, and we’ll try to recover in the course of the year. On the raw material, no, it’s not at spot price, but FX is not at spot price either. So these things move on a daily basis. You have a guidance at what point of time. We looked at whether good news on FX were over – or offsetting bad news on raw material, which is currently the case. But I have no crystal ball on FX and raw material. At the end of the day, we’ll see what is the situation. On CMF-B, you’re right. There is not much impact yet about the benefit of the platform, exactly for the reason we mentioned already several times with Gilles. A platform is a portion of the cost of a car, and you get some benefit. We have some on the basic of the platform, but it’s not as much as what we need and what we would get if we were doing more in the upper body in terms of commonality. Again, a portion of the cost is the platform, the platform itself, even though the basic has been cheaper, then you have all the technology and all the new regulation, which makes the platform more expensive. And we don’t share enough in terms of upper body and commonality. If we would share more, less expenses in R&D, better saving in terms of purchasing, that’s where you’re going to get all the benefit. It would be worse without the Alliance, but it’s not sufficient today as we only share the platform to raise – to have a better, stronger impact on the margin.
Thierry Huon: Okay. Thank you. I think we have to stop here. We are already running out of time. It’s a very busy day for all the team. So all the IR team is available. If you have further questions you want to ask us, we’d be happy to answer to these questions. Have a good day. Thank you, everybody. Goodbye.